Operator: Welcome to the Second Quarter 2016 Willis Towers Watson's Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Aida Sukys. Ma'am, please begin.
Aida Sukys: Thanks, Howard. Good morning. This is Aida Sukys, Director of Investor Relations at Willis Towers Watson. Welcome to the Willis Towers Watson earnings call. On the call today are John Haley, Willis Towers Watson's Chief Executive Officer; and Roger Millay, our Chief Financial Officer. Please refer to our website for the press release issued earlier today. Today's call is being recorded and will be available for replay via telephone through Monday by dialing 404-537-3406, conference ID 49073928. The replay will also be available for the next three months on our website. This call may include forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995 involving risks and uncertainties. For a discussion of forward-looking statements and the risks and other factors that may cause actual results or events to differ materially from those contemplated by forward-looking statements, investors should review the Forward-Looking Statement section of the earnings press release issued this morning, a copy of which is available on our website at willistowerswatson.com, as well as other disclosures under the heading of Risk Factors and Forward-Looking Statements in our most recent Annual Report on Form 10-K and quarterly report on Form 10-Q and in other Willis Towers Watson filings with the SEC. Investors are cautioned not to place undue reliance on any forward-looking statements, which speak only as the date of this earnings call. Except as required by law, we undertake no obligation to revise or publicly update forward-looking statements in light of new information or future events. During the call, we may discuss certain non-GAAP financial measures for a discussion of the non-GAAP financial measures as well as reconciliation of the non-GAAP financial measures under regulation G to the most directly comparable GAAP measures. Investors should review the press release and supplemental slides we posted on our website. After our prepared remarks, we'll open the conference call for your questions. Now, I'll turn the call over to John Haley.
John Haley: Thanks, Aida. Good morning, everyone. Today we'll review our results for the second quarter of 2016 and provide updated guidance for the full-year of 2016. We'll also provide consolidated 2016 and certain pro forma 2015 financial results. Our segment results for this quarter are presented based on the new Willis Towers Watson structure. We provided historical Willis Towers Watson segment information in an 8-K filed on July 14, 2016. We're pleased with our performance this quarter in a business environment that had some challenges. Reported revenues for the quarter were $1.95 billion which includes $31 million of negative currency movement on a pro forma basis. Adjusted revenues which includes $26 million of deferred revenues were up 11% on a constant currency basis and 5% on an organic basis. Commissions and fees were up 3% on an organic basis. Net income attributable to Willis Towers Watson for the quarter was $72 million as compared to the prior year pro forma net income of $114 million. Adjusted EBITDA for the quarter was $406 million or 20.6% of adjusted revenues as compared to the prior year pro forma adjusted EBITDA of $401 million or 22.1% of adjusted revenues. The second quarter is a seasonally weak quarter due to the low level of renewals for some lines of business, primarily related to Gras Savoye and Miller where they had very strong renewals in the first quarter. Portions of the consulting and administration businesses also had weaker performance in the second quarter of the calendar year due to seasonality. Adjusted EBITDA for the first half of 2016 was $1.077 billion or 25.4% of adjusted revenues, as compared to pro forma adjusted EBITDA for the first half of 2015 of $979 million or 25.6% of adjusted revenues. Due to the seasonality quarter-over-quarter, we believe the first half of calendar 2016 is a more meaningful indicator of performance. For the quarter, earnings per diluted share were $0.51, and adjusted diluted earnings per share were $1.66. Before moving on to the segment results, I'd like to provide an update on three areas of integration: revenue synergies, cost synergies, and tax savings. First, let's discuss the revenue synergies. We're making very good inroads in the three areas of revenue synergies we've outlined in our previous communications: global healthcare solutions, the midmarket healthcare exchange and the U.S. large market P&C sector. We've won another nine global healthcare solution clients and the pipeline continues to look very strong. Turning to the midmarket exchange, we've won a number of new clients with approximately 70,000 eligible lives for implementations this year, and continue to see the pipeline build. To provide some context to the 2017 wins, Willis, acting as our channel partner last year, sold approximately 9,000 lives for all of 2016. Lastly, in the U.S. P&C large company space, we've been awarded 10 new projects so far this year. We're certainly off to a strong start, but we continue to believe that our revenue synergies will be much more heavily weighted to 2017 and 2018. As we've mentioned last quarter, most of these wins will not have a significant impact on our 2016 financial results. However, we're very pleased with the progress to-date. Now, moving on to the tax and cost synergies. We continue to be on track to achieve our original goal of a 25% tax rate a full year ahead of schedule. We continue to expect to exceed this goal longer term. We originally estimated merger cost synergies of $100 million to $125 million by the end of 2018, and believe we're on track to achieve this goal. As noted last quarter, we plan to save about $20 million in calendar 2016 with an exit run rate of about $30 million. Next, I'd like to move to the operational improvement program or OIP. Incremental savings from the OIP were approximately $97 million from the second quarter of 2015. We incurred an incremental $16 million of restructuring cost in this same time period. We plan to spend approximately $165 million in 2016 and remain committed to saving $325 million by the end of 2017. OIP continues to be on track. We'll have more detailed information regarding margin impact at our Analyst Day in September. Now, let's look at the performance as well as our revenue and margin expectations of each of our segments. On an overall constant currency basis, commissions and fees for Human Capital & Benefits increased 3%. Corporate Risk & Broking increased 9%. Investment, Risk, and Reinsurance increased 7%, and Exchange Solutions increased 47%. All of the revenue results discussed in the segment detail and guidance reflect commissions and fees constant currency unless specifically stated otherwise. Okay, so, now let's look at each segments in more detail. Turning to Human Capital & Benefits or HCB. HCB generated growth of 3% driven primarily by the Gras Savoye acquisition. On an organic basis, commissions and fees were flat. Retirement commissions and fees were up slightly due to strong demand in Great Britain, which was offset by the expected decline in the U.S. revenues with the decreased demand for bulk lump-sum project work. Talent and Rewards commissions and fees were down as the number of M&A transactions and special projects slowed year-over-year. Health and Benefits services continue to see strong demand in the U.S. large companies. And as I mentioned earlier, the global benefit solution business has strong momentum. Technology and administration solutions or TAS continued to produce solid results due to increased project and call center demand. We continue to have a positive outlook for the HCB business for the rest of 2016. The demand for bulk lump-sum projects and one-time annuity purchases has been picking up and we expect greater activity for the second half of the calendar year. Talent and Rewards generally has easier comps and a promising data services pipeline. We also continue to expect growth in the Health and Benefits and TAS businesses. Turning to Corporate Risk & Broking or CRB, commissions and fees grew 9% from the prior year, largely as a result of the Gras Savoye acquisition. On an organic basis, commissions and fees grew by 1%. In North America, commissions and fees were down slightly after a strong first quarter. Retention levels were strong, but we experienced lower levels of new business as compared to last year. Great Britain produced solid results as the PNC and financial lines led our growth. The international region had modest growth despite a challenging quarter for both China and Brazil. Western Europe had solid organic results given the environment. And Iberia was particularly strong, growing mid-single digit as a result of new business. We expect CRB to grow growth in the second half of the calendar year. We've seen some slowdown in the emerging markets but, generally, we see a good pipeline around the globe even if it is a bit softer than a year ago. While we don't believe the North America new business levels show any secular change in the market, we'll continue to monitor this closely. Now to Investment, Risk & Reinsurance. Commissions and fees grew 7% for the quarter, driven by the acquisition of Miller Insurance Services which is performing in line with our acquisition assumptions. Organic commissions and fees declined 4.5%, primarily due to a continued decline in demand for risk consulting projects, lower demand for investment advisory services, lower profit-sharing on certain insurance contracts and a slowdown in capital market. Capital markets commissions and fees are closely tied to the number of insurance-related M&A transactions and we've seen a significant slowdown in transactions year-over-year. Reinsurance commissions and fees were flat as the international market and the specialty business did quite well but new business was soft in North America. We anticipate some growth in the second half of the year as comparables get a bit easier for the IRR segment, and we may be seeing a slight increase in demand for reinsurance due to the recent losses noted by many of the carriers this past quarter. However, we expect most of the market headwinds related to this segment to continue for the rest of the calendar year. As discussed in the last earnings call, JLT paid a $40 million settlement in quarter two related to the Fine Arts and Jewelry team departure. This settlement was included in IRR's total revenues as other income. This item has not been adjusted out of GAAP earnings, and this is consistent with historic practice. Lastly, Exchange Solutions followed up the strong first quarter with another outstanding quarter, with commissions and fees of $154 million, an increase of 47%. On an organic basis, the Exchange Solutions segment grew by 43%. Driven by record enrollments, our retiree and access exchange revenues increased 48%, and the other Exchange Solutions businesses increased 44% and 36% on an organic basis. Increased membership and new clients drove the revenue increases. Our health and welfare administration business is growing primarily as a result of the unprecedented new business won over the last two years. I'd also like to provide some comments regarding the selling season for the 2017 enrollment period. We had a strong selling season, and expect to enroll over 300,000 retirees and active employees onto our exchanges. In the retiree space, a little over 100,000 retirees are expected to enroll for 2017. Now, we had a record enrollment last year as a result of the state of Ohio, and we did not anticipate duplicating the 2016 enrollment levels. While we aren't enrolling the retirees of a large state or municipality this year, we continue to feel confident in this market in the long term. However, we would also expect that the enrollments in this market will have some volatility from year-to-year. In the active space, we sold approximately 200,000 lives, with one client opting to enroll for 2018. We anticipate enrollment growth of approximately 80% to 100% year-over-year. I previously mentioned the success we've had in the midmarket in the very short time since the merger. I'd add one comment to my previous statements regarding the midmarket environment. It appears that the adoption rate in the midmarket has accelerated and we feel that this is sustainable. We continue to see strong interest from the large market, and we've had some success in winning a few large clients. But the pace of adoption continues to be slower as these organizations are still taking more time to make decisions. We can't predict the inflection point in this market, but the value exchanges provide to both the employee and employer is quite impactful, and we continue to expect the large market to be a significant part of the overall exchange market. We expect the second half will be strong, but we will not have any significant off-cycle enrollments this year. So, the second half commissions and fees growth rates will be lower that we've seen year-to-date. In the exchanges other, we continue to add new administration clients, but have strong comparables in the fourth quarter. So, we would expect commission and fee growth rates to normalize for this line of business as well. I'm encouraged by the quarterly results, the strong collaboration we're experienced at a grass roots level, the commitment to the integration efforts including the revenue synergies and, of course, the continued focus on our clients. I'd like to thank all of our colleagues for their hard work in helping shape this organization for long-term success. Now, I'll turn the call over to Roger.
Roger Millay: Thanks, John. And good morning, everyone. I'd also like to add my thanks to our colleagues for all their hard work. Prior to the merger, in a previous call I talked about the unique opportunity we had to create a powerful organization which would be stronger than what we could have achieved as individual organizations. Now, that we're into our eighth month of integration, I'm happy to say that we're seeing clear development of these merger synergy focus areas. We have confirmation that the enhanced global footprint and large market relationships are having a positive impact on our global benefit solutions business. We're seeing some early success in utilizing the U.S. midmarket distribution network for our healthcare exchange. And we've had some early wins in the large market P&C space. And our cost rationalization efforts are bearing fruit. There's still a lot of hard work ahead of us, but seeing the collaboration among our colleagues and the market activity make me optimistic that we're creating the powerful organization that we envisioned. Now for our financial results. As a reminder, our segment margins before consideration of unallocated corporate costs such as amortization of intangibles, restructuring costs and certain integration expenses resulting from mergers and acquisitions. The segment results include discretionary compensation. Income from operations for the quarter was $136 million or 7% of revenues. The prior year second quarter pro forma operating income was $170 million or 9.4% of revenues. Adjusted operating income for the quarter was $357 million or 18.1% of adjusted revenues. In the prior year quarter, pro forma adjusted operating income was $347 million or 19.2% of adjusted revenues. Income from operations for the first half of 2016 was $462 million or 11% of revenues. The prior year first half pro forma operating income was $553 million or 14.5% of revenues. Adjusted operating income for the first half of 2016 was $1 billion or 23.7% of adjusted revenues, and the prior year first half pro forma adjusted operating income was $884 million or 23% of adjusted revenues. During the quarter, we recognized a net $6 million currency gain as shown in other non-operating income. This gain is driven by the reversal of a currency loss recognized on certain balance sheet positions in the first quarter. The GAAP tax rate for the quarter was 21%, and the adjusted tax rate was 25%. Before we discuss the segment operating margins, I'd like to remind you that we provided recast segment operating income for the prior periods in the 8-K we filed on July 14, 2016. Additionally, our segment margins are calculated using total segment revenues. For the second quarter, the operating margin for the Human Capital & Benefits segment or HCB was 15% as compared to pro forma 20% last year. Commission and fee declines in Talent and Rewards, and quarterly timing in the midmarket Health and Benefits business and in incentive costs drove the second quarter margin lower than the prior year. As a reminder, the North America midmarket Health and Benefits business placed a greater number of their policies in the first quarter this year, depressing the second quarter results. For the first half of 2016, the HCB segment operating margin was 24% as compared to 26% in 2015. We anticipate the HCB segment margin to be in the low 20% range for the year. For the second quarter, the Corporate Risk & Broking segment or CRB had a 19% operating margin as compared to a pro forma 22% in the prior year. For the first half of 2016, the CRB operating margin was 19% as compared to 17% last year. As a result of the heavy weighting of commissions and fees for Gras Savoye in the first quarter, the seasonality of the quarterly margin has changed as well. We anticipate CRB's operating margin to be around 20% for the year. The team is focused on balancing the expense base against the current revenue environment in order to drive margin enhancement. For the quarter, the Investment, Risk & Reinsurance segment or IRR had a 25% operating margin. The margin included the $40 million JLT settlement relating to the Fine Arts and Jewelry team departure. Without the legal settlement, IRR's operating margin would have been 17% for the second quarter or flat year-over-year. The increased margin was a result of the legal settlement and the Miller acquisition, which were partially offset by the decline in commissions and fees in the risk consulting and software and investment businesses. Inclusive of the legal settlement, we expect the IRR segment margin to be around 20% for the calendar year. Exchange Solutions operating margin was quite strong at 20% as compared to 8% in last year's quarter. For the first half of the calendar year, the Exchange Solutions segment operating margin was 22% as compared to 11% last year. For the quarter, the retiree and access exchanges led the segment with a 45% operating margin, with margins being flat to down for all other lines of business. We continue to invest in the actives exchange. Margin on the administration business is generally soft for several quarters as new clients come on the platform. For 2016, we expect the Exchange Solutions segment margin to be in the mid-teens. As a reminder, margins are seasonally higher in the first half of the calendar year as compared to the second half of the year due to our enrollment season. Costs build up prior to the open enrollment, but commissions and fees are recognized over the year once the policies become effective, which is typically the 1st of January. Moving to the balance sheet. We continue to have a strong financial position. During the quarter, we successfully issued our first public Eurobond of €540 million, six year issuance. This transaction completed our debt restructuring plan for the year. A portion of the bond proceeds were used to pay off the remaining balance on the $1 billion term loan facility we entered into in November 2015. We also reinitiated our stock buyback program in June. Through August 1, we've repurchased $100 million or approximately 805,000 shares. We anticipate repurchasing another $200 million by the end of December for a total repurchase of $300 million for the 2016 calendar year. Free cash flow was $265 million this quarter and $335 million for the first half of the year. Free cash flow is generally expected to build through the year. Now, let's review our guidance for fiscal year 2016 for Willis Towers Watson. We expect to incur approximately $150 million to $175 million for integration and transaction-related items. Our deferred revenue add-back adjustments were completed in the June quarter. Integration and transaction-related expenses and restructuring costs will continue to be adjusted from our GAAP measures. In fiscal 2016, we expect reported revenue growth to be around 7% and constant currency revenue growth to be around 10%, with the primary drivers being the Miller and Gras Savoye acquisitions and the Exchange Solutions segment. We're bringing organic revenue growth guidance down to a range of 2% to 3%. Although the second quarter organic growth was quite solid at 5% overall and 3% for commissions and fees, we continue to see headwinds and lag where we expected to be. This new range reflects the market environment we've seen in the first half with some expectation of slightly improved commission and fee organic growth in the second half due to pockets of improved business momentum and areas of better sequential and year-over-year comparisons. We continue to expect GAAP operating income margin to be around 8% and adjusted operating income margin to be around 20%. We believe the various cost reduction programs underway will allow us to keep this margin in line with previous expectations. In calendar 2015, pro forma GAAP operating income margin was 10.5% and pro forma adjusted operating income margin was 19.3%. The GAAP tax rate for the year is expected to be in the 10% to 11% range and the adjusted tax rate is expected to be in the 23% to 24% range. We expect GAAP diluted EPS to be in the range of $2.48 to $2.68. Adjusted diluted EPS is expected to be in the range of $7.60 to $.780, which is down from the previous guidance of $7.70 to $7.95. Guidance assumes average currency rates of $1.38 to £1, and $1.11 to €1. Overall, I'm very pleased with the integration efforts, including the early wins that relate to our revenue synergies, the focus on margin growth and our continued progress in streamlining reporting. Now, I'll turn it back to John.
John Haley: Thanks, Roger, and now we'll take your questions. [Operator Instructions]
Operator: Our first question or comment comes from the line of Greg Peters from Raymond James. Your line is open.
Charles Peters: Good morning, and thanks for hosting the call and taking our questions. I have three areas I'd like to focus on: competitive positioning, the OIP and EBITDA guidance. First on competitive positioning. Could you provide some additional color around how you see where the company is considering the recent results from some of your peers and what looks to be like some of the challenges you reported, like in legacy Towers Watson in the second quarter?
John Haley: Yeah. So, let's see, focusing specifically on the legacy Towers Watson there, I think we see some challenges in Talent and Rewards as I mentioned. And specifically, that is obviously the most economically sensitive of our businesses there and tends to go up and down. As we've seen a cutback on M&A and on some other projects, that has impacted where we are. We don't feel that we're losing out necessarily to the market at all. I just think we see the market as being a little bit slower. We do feel pretty good that we think we'll see a little more of a pickup there. We have easier comparables and we also see maybe a slightly improved pipeline for the second half of the year. So, while it's down, we don't feel that we're losing any market share and we feel that we continue to be well positioned there. I think in the Risk Consulting and Software and in the investment part of the business, those are both ones that have seen some challenges in the last couple of years really. And I think we continue to see them undergoing some challenges. Now, the Risk Consulting and Software is not one that our major competitors really have, so we don't have any direct comparables there. But we do see a decline in a lot of the Risk Consulting projects. The software piece of that business is doing relatively well. But the consulting part of the business, we're just seeing less of an appetite for that among our clients. And I would say that, again, it's not so much that it strikes us that we're losing market share there that we just see the market being softer than it had been. In the investment part of the world, we don't run the funds of funds, and so we don't have a direct comparison again to some of our competitors. But we are seeing a decline in some of the consulting projects around that. And so, we're seeing more of a focus to some of our delegated investment which I think was the growth area that we see. But a large part of our business has been consulting and we do see some softness there. If I look at the rest of the businesses, whether it's Legacy Willis or Legacy Towers Watson, I think we see some ups and downs. I think in general we're within a percent or so of where the market is going with the maybe exception of Exchange Solutions which has just had a fantastic first half of the year.
Charles Peters: Great color. Thank you. On the OIP - oh, go ahead.
John Haley: And then I think...
Charles Peters: Yeah. I just wanted to circle back on your comments on OIP. I know you previously said that you're on track to get the $325 million savings, but I know that a lot of it has been spent or invested so far. Can you give us an update on what you might expect to harvest in savings over the next two years of that $325 million?
John Haley: Yeah. So, that's a subject of intense study by us right now. And I think, Greg, we're really targeting next month when we have the Analyst Day to present the detailed analysis of that. But I think that it's safe for us to say that I think we're changing a little bit - no, we're changing a lot - the focus of OIP to say what we're concerned with is not what the cost reduction is, what we're concerned with is what the margin improvement is. And so, we'll be prepared to address that next month.
Charles Peters: Perfect. And just - I can use that to dovetail into the EBITDA issue. It looks like the guidance is just a tad lower than where it was before. I'm curious if that changes the calculation or the calculus on the debt and the rating agency discussions? And more importantly, ultimately, we're trying to reconcile EBITDA with your longer term target, I think it was 25% by the end of 2018, so any color there would be helpful?
John Haley: Yeah. I'll let Roger address that.
Roger Millay: Yeah. Just to the first question, no impact on any rating agency matters at all. And in terms of the goal, I mean we - as John said, we will be talking about the levers to get to the goal by 2018 and we're still focused on that and creating the structure internally to drive to that.
Charles Peters: Great. Thanks for the color.
John Haley: Thanks.
Operator: Thank you. Our next question or comment comes from the line of Bob Glasspiegel from Janney. Your line is open.
Robert Glasspiegel: Good morning. Quick question on the Reinsurance organic guidance, just making sure. We knew about the JLT settlement when you gave the prior guidance, so I assume we're not factoring in any lost revenues from departures in the revised lower guidance, it's other factors that you cited?
Roger Millay: Yeah. I think that that's right. So, of course, there's a lot to IRR and John already talked about the Legacy Towers Watson Risk and Financial Services piece, there's no revision in that guidance related to the departure of the Fine Arts and Jewelry team or no change at all really with respect to that matter.
Robert Glasspiegel: Just clarifying that, you don't look to see any significant revenue lost from the departures? You can replace that with new hires or is that a ...
Roger Millay: No. What I'm saying is...
John Haley: No. That's already in there is what we're saying. It was already in there previously.
Robert Glasspiegel: Right. And what is the revenue impact from the departures? Is it material?
John Haley: I think it's about $10 million. Is that right?
Roger Millay: Somewhere in that neighborhood.
John Haley: Or is it about $20 million a year?
Roger Millay: $20 million revenue.
John Haley: Yeah, yeah.
Roger Millay: $20 million, about $20 million.
Robert Glasspiegel: Okay. That's helpful. Thank you. The free cash flow operations in the quarter was roughly $300 million from your cash flow statement. What were the big drivers in improvement there in the quarter?
Roger Millay: Well, so if you're looking sequentially, of course, we paid incentive comp in the first quarter. So, for...
Robert Glasspiegel: I was looking more year-over-year. It was $300 million versus $70 million?
Roger Millay: Yeah, versus even $7 million, I think. So, when you're looking at a comparative cash flow statement, that's just the Legacy Willis cash flow statement. So, the biggest difference is really the consolidation of the companies and the free cash that's been added as a result of the merger.
Robert Glasspiegel: There weren't any significant items in and out that distorted the operating trend to cash flow?
Roger Millay: No. Just the performance of the business and what you would expect in the June quarter from the Legacy Towers Watson business. So, no distortion.
Robert Glasspiegel: Thank you.
Operator: Thank you. Our next question or comment comes from the line of Elyse Greenspan from Wells Fargo. Your line is open.
Elyse Greenspan: Hi. Good morning. First question, in terms of your guidance, what are you including for currency on earnings for the back half of the year? And also, what was the currency impact in the Q2, and what had you been assuming for currency, I guess, in your prior earnings guidance.
Roger Millay: Yeah. I mean, I think the rates - I don't have the rates in the prior. I mean, obviously, the pound is down, the euro is about the same, I think it was - I think we're at $1.11 and it was $1.11. Off-hand, I don't have it. Are you asking for what the rates are that are assumed in the second half?
Elyse Greenspan: No. I'm just asking what bottom line impact on EPS are you expecting in the second half of the year.
Roger Millay: Yeah. We'll have to get back to you on that, Elyse. We don't have that on our fingertips.
Elyse Greenspan: Okay. Do you know what the currency hit was in the Q2 on earnings?
Roger Millay: About $31 million.
Elyse Greenspan: Okay. Great. And then in terms of the margin just going back into the EBITDA margin for this quarter in particular. So, if you kind of back out the JLT gain, you probably get close to about 400 basis points of deterioration when you look to last year. I know you said that there are some seasonality from some of the Legacy Willis acquisitions. But can you just kind of go into more detail, I guess, on what outside of just those two acquisitions is really driving the margin deterioration and how, I guess, you expect that to flip as you move - expect margin improvement in the back half of the year, and as you go towards that 25% target?
Roger Millay: Yeah. So, that's why we gave you the six-month margins. So, for six months, the margins were either slightly up or about the same as last year. So, that illustrates the seasonal timing impact. And it's really, as we said in the first quarter call, the Gras Savoye revenues came in - about 70% of their revenues came in in the first quarter. So, there's extreme seasonality that drove that. So, again, as we said in the script, we think the six-month margin numbers are more indicative of where the company is.
Elyse Greenspan: Okay. And then on the organic, the outlook for the risk and brokerage business for the second half of the year, it's implying some level of improvement versus half-year one. And I'm just curious how you kind of think about that business evolving on an organic basis, especially as you kind of look to Legacy Willis, the results there, is that you get a little bit tougher comps in the second half of the year. So, what's driving the organic improvement in your mind?
Roger Millay: And this was in IRR you're asking about?
John Haley: CRB.
Roger Millay: CRB?
Elyse Greenspan: Yeah.
Roger Millay: In CRB? Yeah. I mean, it does imply a little bit better second half. There are some areas where there's a pipeline that supports that growth level. There are areas where the difficulty in the first half or even the first quarter won't be repeated. For instance, we talked last quarter about the South Stream project that was a one-time write-off. There are also areas where seasonality of growth actually in the last couple years has been stronger in the second half. So, while it's not a big pickup, there are several factors that drive that expectation.
Elyse Greenspan: Okay. And then one last question, if I may. You guys started repurchasing stock probably a little bit earlier than we were expecting, yet I noticed in your guidance the share count stayed the same. How come?
Roger Millay: Yeah. We had this odd phenomenon based on the merger close that, because it closed on January 4, actually, and we're talking plus 1 million shares here. But the count was a little bit lower that the real run rate coming in to the merged company in the first quarter. So, we're now on a path where given the share repurchases we talked about, and now that the timing is normalized, we'll be seeing downward impacts to the share count.
Elyse Greenspan: Okay. Thank you very much.
Roger Millay: Thank you.
Operator: Thank you. Our next question or comment comes from the line of Quentin McMillan from KBW. Your line is open.
Quentin McMillan: Hi. Thanks very much, guys. I just wanted to ask about the operational improvement program. John, thank you. It seems like you're going to give obvious a lot more color at the upcoming Investor Day, so look forward to that. But can you just clarify something? It seems that you just said that you're not focused on the cost reduction but what the margin improvement is. Am I reading correctly to assume that you're thinking that revenue synergies and top-line boost from potential gains from the operational improvement are what you now are focusing on and that the underlying expense savings are not necessarily what's going to drive the margin improvement?
John Haley: No, no. That wasn't what I meant to say. What I meant to say was that we don't see getting a cost reduction by itself as the end game. What we see as the endgame is getting margin improvement. And so, what we want to look at it, the OIP is to say, how does this result in margin improvement? And that's going to be what our focus is.
Quentin McMillan: Okay. Great. Appreciate that. And then, second question for you, John. People are now looking out to your own compensation metric $10.10 in 2018 as sort of the longer term guidance. I know you guys haven't necessarily put that out there, but that's what some are talking about. So, I just wanted to sort of laid out the baseline of holding the macro flag. If we live in an environment with a 2% GDP, the 10-year stays around 2%, inflation is constant, and the P&C rates stay in this negative - a couple hundred basis points maybe. Is that an environment where you feel confident that you're going to be able to drive towards that $10.10 number in 2018 or is there something that maybe needs to break to the upside for you to reach that?
John Haley: No, look I think one of the things we knew that when we were putting together Willis and Towers Watson was that the first year we would have some puts and takes and it would be a little bit messy, and we were in some ways in a difficult environment. But frankly, all the different possibilities that are there from the merger, whether it's revenue synergies, cost synergies, tax synergies, whatever, we think all of those things provide tremendous upside. And so, I continue to be bullish about the prospects. And as I told investors from the beginning, this is a three year project for us. It's one of the reasons why we put together the compensation plan the way we did. It focused on those metrics. And I continue to be positive about hitting them. So I'm still focused on that.
Quentin McMillan: Great. And if I could just - very quickly for the guidance in terms of the 2% to 3% organic growth, are we assuming that that $40 million is in a total organic growth number? The 2% to 3% you're giving is total, it's not commissions and fees organic growth and the $40 million JLT will be in there?
Roger Millay: That's right. It's total revenue.
Quentin McMillan: Okay. Thanks very much, guys.
Operator: Thank you. Our next question or comment comes from the line of Dave Styblo from Jefferies. Your line is open.
David Styblo: Hi. Good morning. Thanks for the questions. Just want to talk about the areas of weakness and get a better understanding of what you guys think is under your control versus what's market related. We heard a lot of threads between China, a soft M&A market, some discretionary spending that happens by employers for Legacy Towers business. It seems predominantly market-related, but I just want to get a sense of the potential improvement, not so much for this year but also next year in terms of what you think you can do to change and improve the organic growth profile of the company?
John Haley: Yeah. So, let me just sort of talk about that at an overall level there. I think - as you mentioned, when I was responding to the question about the Legacy Towers Watson, I said to the extent we see some areas that are underperforming, we have a sense that it's the market and not so much specific things going there. One of the things that makes it a little bit difficult is in some of those areas like Risk Consulting and Software, we don't have natural competitors that are public companies to look to see what the market is. But our overall sense is just that the market is down there. And we've been through this. We see some ups and downs. We have areas like our old Talent and Rewards that are very heavily dependent on the economy overall. So, we see those going on. We have similar areas like that from the Legacy Willis part of the business. So, when we look at the capital markets area there, that's a small area, but it's one that is very sensitive to the amount of insurance-related M&A transactions that are going on. And for comparison, last year, there was $110 billion in M&A transactions in the insurance space. So far, this year, there's been $10 billion. That's a pretty big difference and it's one of the reasons why that has contributed to a decline in the IRR this year. I think when we look at it, there's a couple areas where we are trailing the market. I think if we look at our Corporate Risk & Broking and if we look at the Reinsurance, we're a little bit lower than the market there. I think in both cases, we look at those as it may be in some cases of portfolio effect. So for example, I think the international, which has been the real source of growth for Willis versus the market over the last several years, that's the area that's particularly down this year. So, that may affect us more than some of our competitors. But I think it's safe to say that we're probably a percent or so below them this year. We don't see anything that's structural. We think that some of that is related to just some goings on in the business that we expect to reverse themselves and we expect to be growing at about the level of the market or better in 2017.
David Styblo: Okay. That's helpful. On the exchanges, just to make sure I square the numbers right. So, I think you said 300,000, was that all for 2017, because I think there was also a comment about one of the employers or one of the clients was going to be landing in 2018 and wasn't sure what the impact of that was? And then, also while on the exchanges, should we expect margins to rise consistently from here on out year-over-year as the business starts to scale more? I'm just trying to juxtapose that against comments about continued investments in the active side of the business.
John Haley: Yeah. So, I think what we had said was, we do expect to enroll about 300,000 in total.
David Styblo: And those are not total covered lives, those are just actual employees. Right?
John Haley: Actually, what I should have said is we've sold 300,000 in total that we will be enrolling in both 2017 and one of them that's going to be deferred to 2018. One of the big ones that's deferred to 2018 is about 60,000. So, it's a big case that is deferred.
David Styblo: Got it. Okay. And then lastly, just on bridging the EPS a little bit. So, I guess $0.13 decline at the midpoint. Certainly, I'd imagine it's the organic growth is driving the vast majority of that. Are there any one-timers on the positive side, whether that be FX because I think the way the currency moves that actually benefits your earnings, although my understanding is you also have some hedges in place, not sure if that mitigates it. But is there a bit of a bridge you could provide us, so we have a clearer understanding of $0.13 drop at the midpoint?
John Haley: Yeah. So, I think, well, as Roger said, we'll get out some more detail on the actual currency effects and everything. I think we do have some hedges which take about 70% or 75% or so of the difference there. It's something like that.
Roger Millay: Yeah. I mean, so specifically the pound sterling is pretty much offset when you take the hedges into consideration. I mean, I think the big driver of the, as you said, of the downgraded guidance is the organic growth expectation.
John Haley: And I think if you look at it, look, in the first quarter we had revenue growth. Initially, we had said it was going to be in the mid-single digits and we said it was going to be muted. And so, that meant we were in the lower end of that. That's because it was down to about 3% to 4%. And now, we're looking and saying actually it's probably going to be closer to 2% to 3%. And so, we wanted to come out with some specific numbers this time but I think that's the overall effect. We have gone back and done - and Roger sort of alluded to this - we've gone back and done a re-forecasting exercise to look at what are reasonable revenue growth expectations. We feel pretty comfortable about that 2% to 3%. We think that's a pretty good number.
David Styblo: Okay. Thank you.
Operator: Thank you. Our next question or comment comes from the line of Tim McHugh from William Blair & Company. Your line is open.
Timothy McHugh: Thanks. Just to follow up on the exchange, two questions. One, I guess - sorry, I was a little confused. So, the 300,000 includes the 60,000 that's deferred into next year?
John Haley: That's correct.
Timothy McHugh: Okay.
John Haley: Sorry, Tim. We were talking. The 300,000 is the total we sold. And this client has signed up for 2018 already. So, we've already done that. But it does include everything, yeah.
Timothy McHugh: And then the 80% to 100% growth, what piece was that referring to?
John Haley: That was the enrollment growth in the active space year-over-year.
Timothy McHugh: Not including the 60,000 because that will take effect in...
John Haley: That's correct. Not including the 60,000, we'll still have the 80% to 100% growth.
Timothy McHugh: Okay. And on the retiree side, I get you're not going to have an Ohio every year, but how do you feel competitively you held up? Were there just not opportunities, or was there any change in the competitive dynamics in terms of competing for some of the larger retiree opportunities?
John Haley: No. No change in the competitive dynamics. There was not any big case like the Ohio case or even one any remotely close to that this year. So, yeah. We feel like we continue to have by far the strongest offering in the retiree exchange space.
Timothy McHugh: Okay. And then last question, just turnover. Where's it trended year-to-date, I guess, and I guess besides just the overall turnover number, I guess, any sense of how meaningful the turnover is in terms of key individuals?
John Haley: Yeah. So, I think, overall, frankly, the turnover has been lower than I would have expected. We were running, I think for last year or so, a little over 10%, in voluntary turnover, and we're actually running just under 10% now, which I used to think in terms of when we were in just the consulting area, whether it was Watson Wyatt or Towers Watson, I used to think of maybe 10% to 12% voluntary turnover rate as being about the right level. And I think there's probably more turnover in the brokerage market generally. So, I would've expected that to be somewhat higher. So, I think coming in at just under 10% - we're at 9.8% or something like that now - is a little bit lower than I'd expected, and so that's where we feel about that overall. When we look at the - there is obviously seasonality. And so, we noticed this in the old Towers Watson days, you get more turnover after you've just paid bonuses than you do there. We continue to see that, no particular changes there. And I think when we look at specifically where we've had some competitors try to target some of our individuals, one of the things we do is we prioritize those, and we don't necessarily try to respond to every raid on an employee like that. And we target the ones that we think are the real high value employees. We've been very successful at that, and we've continued to hold on to the ones that we really wanted to.
Timothy McHugh: Okay. Great. Thank you.
Operator: Thank you. Our next question or comment comes from the line of Mark Marcon from R.W. Baird. Your line is open.
Mark Marcon: All right. Good morning and thanks for taking my question. With regards to the Exchange Solutions, can you just talk about that midmarket pipeline and what your expectations would be for continued sales through the balance of this year that can go into effect in 2017? And then I have a follow-up question on a different area.
John Haley: Yeah. So, I don't have right off at my fingertips here, Mark, the relative numbers for the second half. But the midmarket is different than the large market in that you can continue that sales that occur up until almost the November timeframe and still implement them. But by far the bulk of it will occur in the first half. So, I don't have at my fingertips whether it's like 80% occurs in the first half or it's probably something like that, but we'll get you those numbers. I would think it's safe to say, though, that the bulk of the sales have already occurred by far, although there will be some continuing. I think I made a comment in the script to say that we look at the midmarket as saying that it's accelerated and that we feel that that's sustainable. So, that's based on our talking with clients, our seeing what's happening to the pipeline, so I don't think we're expecting to see. We've had a terrific first half of the year in terms of selling this. We're not predicting any decline in the second half as a result of that. We think we're going to continue to see the midmarket being an important source of new business.
Mark Marcon: Can you talk us about the existing clients in terms of their experiences? What sort of client retention rate you're current lead running? What are the savings that you're currently experiencing? And also, to what extent do you think the ACA, all the work that went into getting ready for 1094s, 1095 may have distracted people from putting in place exchanges for this year.
John Haley: So, I think in terms of the overall savings, we can see that varied significantly. It can vary based on the specific geographical distribution of the employers. It can vary based on what kind of plan they're coming from, whether they already had a plan that, for example, had high deductibles or what other features they might have already had built into it. Generally, we look at savings between 5% and 15% for the employer, although often what will happen is the employers will probably give about one-third of that back to the employees and keep about two-thirds. So when they make the exchange, it's a win-win for both the employer and the employee in terms of the cost aspect of that. That's been something that we've seen since the beginning and we're not seeing any change in that overall. I think in terms of the adoption rate, it's hard to say exactly whether people are distracted by some of these other ACA things. I tend to think that that's not the case. I think we have seen, as I said, the midmarket pickup. And in fact, if you're thinking about employers that might be distracted more, you might think that actually it's the smaller one that have more of those distractions. So, I don't think that's what we're really seeing there. I do think we're seeing the natural conservatism of larger organizations continue to be a factor in the marketplace. But we are seeing the smaller ones adopting it somewhat more enthusiastically than they did even a year ago.
Mark Marcon: Great. And then can you just comment with regard to your UK business? I mean, Bank of England just took down their growth forecast. So, to what extent do you think your overall portfolio of UK businesses are cyclically sensitive?
John Haley: Yeah. I think they - the whole impact of Brexit, of course we did that call the other day and I guess it was last month after Brexit and went through that. I would say that we really don't have any change in views or necessarily guidance from then to now. When we look at Brexit, I think it's a hodgepodge of both pluses and minuses. And when we look at our overall exposure, for example, in Corporate Risk & Broking, the overall CRB revenue exposure, it's about 7% of our revenues. So, it's not like we see that that is the biggest deal in the world. If markets were to move from London to elsewhere, it's not clear that we're disadvantage by that. In fact, we might even be advantaged depending on where it were to move to. So, I think there's nothing that we see now that we say, this is necessarily a problem for us. I mean, I think even at the senior levels of our company we have different views as to the impact of Brexit overall. Some of us have - I've been relatively relaxed about the notion of Brexit. Some other people are more concerned about that. But I think overall we don't see - the movement of the BofE today isn't anything that was unexpected, and I don't think it changes our overall guidance.
Mark Marcon: Great. Thank you.
John Haley: Okay. I think we'll take one more question. So.
Operator: All right, sir. Our final question or comment comes from the line of Kai Pan from Morgan Stanley. Your line is open.
Kai Pan: Thank you so much for fitting me in. Just on the free cash flow usage. Like how much you plan to spending on deleveraging the balance sheet and merger acquisitions as well as buybacks? Is that - can you spend most of your - would rating agency have issues with you spending most of your free cash flow on return to shareholders?
John Haley: A number of angles in there. So, maybe just stay at the last one. Everything that we're doing has been part of the communications with the rating agencies. So, we've been managing that internal and there are no issues there. With respect to the usages ultimately of free cash for the year, as we've said, we expect another $200 million of share repurchases at this point and we continue to evaluate that quarter to quarter based on how the company performs. So, that's where we are for right now.
Kai Pan: Are you considering [indiscernible] deleveraging or like are there going to be any sort of like on the merger front as well?
Roger Millay: So, I mean I think as we - we're in the same kind of mindset that we talked about, I think, last quarter, which was stabilizing the rating agency metrics and around the level that support our current rating. And there are a lot of angles to the rating agencies calculations, but it doesn't imply significant deleveraging.
Kai Pan: Okay. That's great. Last one, if I may. It's just like press a little bit further Quentin's earlier question. If organic growth is going to be slower that you currently expected going forward, are there other levers you can pull on the expense side will enable you still be able to achieve your $10-plus by 2018?
Roger Millay: Well, I don't know.
John Haley: I mean we think that - we have plans to get to the $10-plus level even with modest organic growth. So, we remain confident about hitting that.
Kai Pan: That's great. Well, thank you so much for the questions.
John Haley: Okay. Thanks a lot.
John Haley: Thanks everybody else for joining us this morning and I look forward to talking to you at Analyst Day in September.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.